Operator: Good day, ladies and gentlemen and welcome to the Quarter Four 2014 The Bancorp, Incorporated Earnings Conference Call. My name is Tracy and I will be your operator for today. At this time all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. [Operator Instructions]. Just as a reminder this call is being recorded for replay purposes. And now I'd like to turn the call over to Andres Viroslav. Please go ahead.
Andres Viroslav: Thank you, Tracy. Good morning, and thank you for joining us today to review The Bancorp’s fourth quarter and fiscal 2014 financial results. On the call with me today are Frank Mastrangelo, Chief Executive Officer; and Paul Frenkiel, our Chief Financial Officer. This morning’s call is being webcast on our website at www.thebancorp.com. There will be a replay of the call beginning at approximately 12:30 p.m. Eastern Time today. The dial-in for the replay is 888-286-8010 with a confirmation code of 63783831. Before I turn the call over to Frank I would like to remind everyone that when used in this conference call, the words believes, anticipates, expects and similar expressions are intended to identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are subject to risks and uncertainties which could cause actual results to differ materially from those anticipated or suggested by such statements. For further discussion of these risks and uncertainties please see The Bancorp’s filings with the SEC. Listeners are cautioned not to place undue reliance on these forward-looking statements which speak only as of the date hereof. The Bancorp undertakes no obligation to publicly release the results of any revisions to forward-looking statements which may be made to reflect events or circumstances after the date hereof, or to reflect the occurrence of unanticipated events. Now I’d like to turn the call over to Frank Mastrangolo. Frank?
Frank M. Mastrangelo: Thank you Andres and good morning everyone. We'll start the call with some background. The Bancorp is comprised of two primary business types. First we private label and integrate banking and payment sponsorship services into platforms of non-bank financial firms and leverage those firms’ distribution channels to the end clients. These activities encompass our payment issuing, ACH origination, merchant acquiring, institutional banking and health savings account business lines. Our partners benefit by providing more holistic and robust offering to their end clients, thus increasing their retention and revenue overtime. This business does primarily generate low cost stable deposits and non-interest income for the bank. Second, we operate a series of specialty finance businesses that contribute to interest earnings assets. These activities encompass our CMBS, small business administration and leasing business lines. Distribution in these channels is both direct and through intermediaries. These are carefully selected business lines which, including the securities-backed lines of credit generated by the institutional banking business have demonstrated exceptional credit performance as they are designed to either produce a very granular portfolio of smaller credits or in the case of CMBS to shut the credit risk relatively quickly. Now to some detail on the quarter. Fourth quarter results reflect challenges as well as material progress we've made in transitioning the bank's business. BSA related consulting expenses, investments in personnel, a volatile CMBS market and an increase in our FDIC insurance assessment contributed to a loss for the quarter from continuing operation of $537,000 or a penny per share. Including discontinued operation The Bancorp reported a net loss of $2.2 million or $0.06 a share. One of the headwinds we faced during the quarter was new guidance issued in early January by the FDIC related to recognition of broker deposits. As a result we categorized $3.9 billion or approximately 83% of deposits as brokered and as a direct result, deposit insurance expense increased approximately $1 million over the prior quarter. Possible reductions in that expense are dependent upon future FDIC evaluations of the bank. Nonetheless, we believe that this categorization is not reflective of the economic value of these deposits, as driven by their duration, stability and cost. We also made continued progress in our efforts to strengthen our infrastructure related to BSA and compliance. As previously noted, we believe that we on target to complete BSA remediation in early 2015. One-time expenses incurred in the fourth quarter related to that effort were $3.9 million and we estimate additional future one-time expenses of $7.5 million which we will likely incur over the next two quarters. We made progress staffing the BSA and compliance teams with BSA now fully staffed with tenured professionals in the AML/BSA specific practice area. We estimate incremental annualized operating expenses beyond that realized in the fourth quarter at about $3.1 million per year. We continue to believe that this investment will differentiate us from competitors and that our infrastructure will provide the bank with a strategic advantage in the marketplace. Additionally the fourth quarter was absent a previous contributor to earnings in gains on sale of loans to secondary CMBS market. This is due to volatility in these markets which the bank had not previously experienced. As we've noted in the past calls we are subject to external market conditions beyond our control in the CMBS business line. In the fourth quarter spreads tightened but we managed the balance sheet with strong discipline and sold into the market rather than elongate duration. The net result was $926,000 loss in the business after related expenses. The market volatility has since subsidized. We look forward to return to contribution levels of prior periods. Despite these challenges gains for the year on such sales still amounted to $12.5 million. Prior to year end and with the assistance of advisers we sold a portion of the discontinued loan portfolio to an entity managed and controlled by an independent investor, who contributed $16 million in equity to that entity. The bank retains a 49% interest in the purchaser and provided financing of two notes. The first was for $178.2 million of notes at a 1.5% interest rate and the second was for $15.4 million of subordinated notes at a 10% per year. Both mature in December 2024. The loans in -- the loans that were sold at a principal balance of $267.6 million had been marked to $229.6 [ph] million in the third quarter of 2014. In the fourth quarter we did absorb a $3.9 million loss recognize upon sale. We continue to work with intermediaries to sell the approximate $900 million remaining discontinued portfolio, so that sale proceeds maybe reinvested in our continuing operations, including our targeted lending segments and investment securities. We're making good progress in our negotiations with potential buyers. We view this not only as a sale but more importantly as a transfer of long cultivated relationships. Therefore we're working towards best outcomes both for the bank and the borrowers by matching portions of the portfolio to buyers with interest in specific segments, regions and borrower types. With this course of act -- while this course of action makes then the loan sale process beyond our previously described timelines I believe that all parties will be best served by the focus on good outcomes for all involved. It's that same client focus that's enabled us to earn the trust of the large organizations we serve in our prepaid acquiring and institutional banking business lines and ultimately provide us the platform for reinvestment sales proceeds. Net interest income for continued operations increased 33% to $15.8 million, compared to $11.8 million in the fourth quarter of 2013 as a result of strong growth in our focused areas of lending. SPA grew 43%, securities backed lines of credit, 44% and leasing grew 11%. Including our CMBS business line we grew loans $371 million or 51% from year end 2013. Combining strong loan growth with careful balance sheet management we're able to deploy more of our excess liquidity and the yield on assets increased to 2.58% from 2.2% in the fourth quarter of 2013 as excess liquidity in fed funds was deployed into loans. Our cost to funds declined to 28 basis points and we continue to maintain a very asset sensitive profile. Excluding the CMBS business line, total non-interest income grew 8% as compared to the fourth quarter of 2013. Our merchant acquiring ACH origination business contributed with a 27% increase and the HSA business drove the 34% increase in deposit account fees over that period. The payment issuing business non-interest income growth rate of 8% was affected by the mid-quarter transition of a relationship we'd previously noted to the market we were exiting. Gross dollar volume grew 18% as compared to the fourth quarter of 2013 to $9.1 billion and margins increased 5% from the previous quarter to 13.8 basis points. This concludes my prepared remarks for the quarter and I'd be pleased to take any questions you might have.
Operator: Thank you. [Operator Instructions]. Your first question comes from the line of William Wallace from Raymond James. Please go ahead.
William Wallace: Good morning, Frank.
Frank M. Mastrangelo: Good morning Wally.
William Wallace: So the sale of the good commercial loan portfolio you mentioned that you’re breaking that up into basically into batches and selling it to individual buyers. I was wondering if you could talk a little bit about how that will be broken up and what your expectation now of the potential timing of these sales could be and maybe how many different batches it might be?
Frank M. Mastrangelo: Yeah, I think that there is possibility for as many as three different batches, based on loan type, region -- primarily based on loan type and region and to a slightly lesser degree loan size. I believe because of that, that we will have some of the sales bleed into Q2 although it’s certainly possible and plausible that some will still occur this quarter.
William Wallace: Are you in the negotiation stages now?
Frank M. Mastrangelo: We are indeed.
William Wallace: Do you have any visibility or can you give us an update on your confidence on the marks for the commercial loans?
Frank M. Mastrangelo: Sure, I have said previously and continue to say that we that we believe that the marks that we took in third quarter of 2014 accurately reflect what the loans would sell for in the secondary market.
William Wallace: Then moving on to the continuing operations, did you say you’ve got $7.5 million of additional one-time expense relate to BSA order for the first-half of the year?
Frank M. Mastrangelo: Yeah, that will be -- that will be absorbed most likely in the first two quarters of 2015.
William Wallace: What is that expense?
Frank M. Mastrangelo: It’s the ongoing consulting and BSA remediation expenses.
William Wallace: So the consulting expenses coming in significantly higher than initial expectation is that what’s…?
Frank M. Mastrangelo: Yeah, I believe somewhere in the range of -- it is an increase in the estimate of one-time expenses of something close to, I believe Paul’s the number about $3 million-$3.5 million.
Paul Frenkiel : Yes, we had to revise based on information from consultants that, that it is just going to take more time and they have to do more work. So it increased, yes.
William Wallace: So is your expectation that -- so you’re saying this will be absorbed in the first-half of the year. So by the end of the second quarter are you expecting that you will be in compliance with the order or you then need to implement?
Paul Frenkiel : No, no, implementation will be completed early in 2015.
William Wallace: Okay. And then my last question just along the same lines on expense, so if I take the roughly $32.7 million of operating non-interest expenses after the BSA-related consulting expenses in the fourth quarter you are saying layer on an additional annual $3.1 million of expenses and that’s a good kind of idea of where we are starting today, I guess is that -- surely [ph] net is there any -- are there any other expenses that can come out?
Paul Frenkiel : Yeah, I think the calculation that you just mentioned is accurate with one caveat and that is if there is a relationship between -- because much of the expense is variable, relationship between CMBS revenue and expense. So as CMBS revenue increases or decreases in any given quarter you know there is a linkage to expense.
William Wallace: And then what about the opportunity to find some efficiencies as it relates to any office space or stuff that’s not directly related to discontinued but that’s currently could be supporting some of the discontinued operation?
Frank M. Mastrangelo: Yeah, sure as we have noted in the past we do believe that we will have some of those efficiencies still, expenses that exist in the continuing operation line items, some of those will be offset by of course the infrastructure build and BSA and compliance, that additional $3.1 million incremental operating expenses that we have noted for personnel but we do believe we will be shedding more expense than we are taking on.
William Wallace: I’ll let somebody else ask you questions. Thanks Frank.
Operator: Thank you for your question. Your next question comes from the line of Frank Schiraldi from Sandler O’Neill. Please go ahead.
Frank Schiraldi: Hi, just a few questions. First on just the BSA expense going forward, again Frank, so I had thought that we were looking at -- aside from the one-time cost about $3.5 million annualized expense that was going to be ongoing, now are you saying that, that has increased by another $3.1 million, is that the message?
Frank M. Mastrangelo: Well, if you recall Frank, I think we said $3.5 million related to BSA. Last quarter we spoke of an additional investment in compliance infrastructure of another $1.5 million. Now, most of that $1.5 million has not been -- has actually not been incurred, has not been loaded, was in the expense load today. There is a portion of the $3.5 million that’s also not in the expense load today. So and there is a -- we are planning a slightly larger investment in compliance infrastructure beyond BSA, third-party risk management and compliance. So the remaining incremental operating expense, beyond what is loaded in Q4 is $3.1 million. That also takes into consideration that at least a portion of the BSA staff which is now in place joined us in Q4, so did not have full impact from expense standpoint within the quarter.
Frank Schiraldi: So the $3.1 million overlaps with the $3.5 million number then. I guess how much of the $3.5 million number would you say is already baked in to 4Q earnings?
Frank M. Mastrangelo: Paul, do you have that number?
Paul Frenkiel: I think the best way to look at it is that it’s $3 million incremental to what we had in the fourth quarter. We are going to have annualized expense of that $3.1 million. And that is an increase, for the reason that Frank said, which was that we were mostly focused on BSA and while the order doesn’t specifically require other increases in compliance, in looking at satisfying every possible request of the FDIC and all their concerns we are inclined to add more staff to fully satisfy them. At some point we will obviously do our best to manage efficiently and improve efficiency in that area but initially we are going to be adding more positions. So there is going to be more incremental expense and we estimate it at $3 million, $3.1 million.
Frank Schiraldi: Okay. So I maybe repeating, nevertheless question here, but on -- in terms of $3.1 million if you add that in incrementally next year and you just forget about the one-time cost for a second, so it makes sense to think about the run rate expenses that as just $3.1 million higher than this year, excluding the one-time costs. And then you talked about efficiencies to move that lower. Can you just talk about efficiency ratio expectations as we go forward and where you hope, where you think you can get to and maybe a longer-term?
Frank M. Mastrangelo: Sure, I mean I think we will probably provide some targets for this and in future quarters once we are able to wring -- better understand and wring some of the expense out of continued operations that we know we should be able to get. Historically for us efficiency ratio has been one of the core ratios that we are focused on and that will be the case again in the future, as we transition, probably we don’t think it’s going to be -- it’s actually going to be a meaningful target during the transition here though well we are in the process of selling and transitioning these loan relationships to another institutions and redeploying the proceeds into the investment and other continued focused areas of lending.
Frank Schiraldi: And I guess I guess how do you boost profitability in the next year or two, is it in terms of ROA is it, do you look to shrink the balance sheet more and perhaps ramp-up the deposit sale program? How quickly can efficiencies be realized just trying to get the sense of where we can expect maybe profitability as we look out to 2016?
Frank M. Mastrangelo: Sure, just redeploying into cash from loan sale proceeds into interest earnings assets will improve efficiencies. Secondly, I think we have never been shy in cutting deposit heavy fee light relationships. I think over the last three years we probably paired relationships approaching $2 billion in deposits off the roster, including close to $425 million this calendar year. So I think we will manage the balance sheet with tight controls as we have done in the past and not be shy about paring relationships that might not be sensible for us with an increased liquidity position off the roster. At the same time we do believe that deposit sweep can be a contributor to handling the excess liquidity and we have grown these focused areas of lending relatively well over the last calendar year and believe that we can continue to do that in the future.
Frank Schiraldi: The card based businesses, the best way to look at it now is just to combine prepaid processing fees, service on deposits the merchant card processing, ACH, this is the best way just to combine that all together and think about perhaps a run rate akin to what we saw in this quarter year-over-year, which was 12% is that reasonable? And then the second part of that question would be it looks like gross dollar volumes were up 18% year-over-year but again the card business growth looked like about 12%. So our margins come in overall on a year-over-year basis and do you expect to see that continue?
Frank M. Mastrangelo: Yes, just the second part of your question margins year-over-year did come in a little over 1 basis point quarter-to-quarter Q3, 2014 to Q4, 2014, margins increased 5%. And you are right the relationship of 8% increase in non-interest income, 18% increase in GDV, now that’s indicative of, I think we’ve probably talked about at some last earnings call that’s indicative of, I think our larger relationships continuing to take market share. There just aren’t that many new entrants into the business right now. The larger players are starting to acquire some of the smaller program managers and I think there is certainly consolidation both from organic gains in growing and from consolidation trends in the larger program managers.
Frank Schiraldi: Okay, but do you think, I mean I don’t if you want to -- I don’t think you want to be giving a growth rate but in terms of like just year-over-year card businesses, is low double-digits still a reasonable place to be do you think as you look out?
Frank M. Mastrangelo: Yes, I do believe it is, absolutely.
Frank Schiraldi: Okay, and then just on the CMBS securitization is there any thought maybe pulling back a little bit on what you guys have been doing, just given the volatility last quarter and maybe some continued volatility this quarter?
Frank M. Mastrangelo: I don’t think so. Look it’s a business that has performed extremely well even despite the loss in Q4 from that business line, it still generated $12.5 million in non-interest income in 2014 and we believe it’s an excellent business.
Frank Schiraldi: I guess just how high or how much in expenses are tied to that. You got $12.5 million in revenues, what sort of efficiencies are on there?
Frank M. Mastrangelo: Yes, I mean the majority of the expenses are variable, which is a benefit of the business. Paul, do you have the percentage that it runs?
Paul Frenkiel: Yes, I would say a minimum. It’s in excess of 40% but the minimum is 40% of the gains translate to expense. And again that’s a minimum and they are actually somewhat higher than that, but the other portion is somewhat variable. So you have expenses, some of them are fixed, some of them are variable, some of them are semi-variable. So it’s a difficult percentage to zero in on but at a minimum as I said it’s 40%.
Frank Schiraldi: Okay, that’s helpful. And then finally if I could just on the sale of the remainder of the portfolio, Frank has anything changed, you mentioned three different batches. Would one of those batches still include sort of the performing commercial that has collateral in footprint that is really, I think the great majority of what’s remaining. Is that still one of the batches you are talking about or do you think there is further reduction within that?
Frank M. Mastrangelo: Yes, there is actually further segmentation even of that portfolio, both from a geographic standpoint, because some -- turns out some institutions are interested for example in New Jersey versus Pennsylvania and by loan type.
Frank Schiraldi: Okay, so was it more like, I guess you went through the process of marketing these loans and I think you probably went through the process of marketing them together, which would make it easier on you. Is it fair to say the bids, there was less interest in the full book, the bids didn’t come in where you had anticipated? I mean why further segment that book?
Frank M. Mastrangelo: No, it’s more focused on best outcomes than it is lack of interest.
Frank Schiraldi: Okay, and there are some deposits tied to that, I guess one of those batches at least right, that the community bank deposits would go along with?
Frank M. Mastrangelo: Yes, it’s a segment of, I think what we’ve reported as community bank deposits are actually tied directly to commercial customers somewhere in the range of, we estimate it at $175 million, $183 million in deposits.
Frank Schiraldi: Okay, all right. Thank you very much.
Operator: Thank you for your question. Your next question comes from the line of Matthew Kelley from Sterne Agee. Please proceed.
Matthew Kelley: Hi guys. On the commercial loans that you did sell and the cash, the proceeds that you did get there, talk about the securities yields that you have been investing at. Last quarter you talked about a 1.75%-2% yield. How do those compare today for the types of bonds that you would like to buy as you sell loans?
Frank M. Mastrangelo: Sure, Paul would you like to take that?
Paul Frenkiel: Sure, well if you have been following interest rates, interest rates are down a bit. So we had thought we could do it at least at 1.75%. So now our most recent estimate is 1.65%. Of course we really can’t predict because there has been volatility in those rates as well. We can’t predict what they were going to be when the loan sale happens even in a month or two but as of right now we believe we could deploy at an average yield of 1.65%.
Matthew Kelley: Okay, got you. And then Frank what I am hearing now is that you expect to have the full $900 million done by the end of the second quarter, is going to sneak into 2Q, is that right?
Frank M. Mastrangelo: Yes, it is definitely going to, at least a portion I think will certainly trickle into Q2.
Matthew Kelley : Okay, so say if you have the full $900 million on your balance sheet how quickly would you anticipate investing that in securities at those types of yields?
Frank M. Mastrangelo: Sure. Paul.
Paul Frenkiel: Yes, we think we can do it relatively quickly, in 60 to 90 days. That may change and we will have to look at where interest rates are, and if you -- since I know you are familiar with the bank, you know that we have tried to time our securities purchases and we have been very patient. And so we have had some success in locking in rates when rates were slightly higher and being patient and not buying when rates flip down as they are now. So we actually haven’t bought -- we bought virtually nothing in the first quarter. So we can’t say for sure but assuming that rates are, we feel adequate and we don’t see anything, any big changes on the horizon. We think 60 to 90 days we could have it all deployed.
Matthew Kelley: Okay, got you. Now there is a little bit more balance sheet growth which pushed capital down to 7%. I think like this would have been a pretty good quarter to use the deposit sweep program. Did you utilize that during the quarter and talk about the progress you have made and the ability to help manage the size of the balance sheet and manage capital through that tool?
Paul Frenkiel: Yes, sure we do have banks on the platform today. We have swapped some off balance sheet to those bank buyer institutions. We do believe that it will be a useful tool in the future. What we are seeing in Q4 of course part of the normal build up in deposit balances that will happen in Q1 as the tax refund processing business kicks in, peak in May, within Q2 and roll off with pretty heavy velocity. There is never really the intend to utilize the sweep system for the more volatile deposits, those that flow on and the flow off with relatively high velocity but rather place ongoing stable core deposits at other institutions and that is how we utilize the platform.
Matthew Kelley : How much did you have sold at December 31st…?
Paul Frenkiel: I don’t have that number in front of me Matt, but I can get it for you.
Matthew Kelley : Fair enough. So when we look at the average balance sheet, the $11.2 million of interest income earned on the assets held for sale, I understand that includes a portion of what actually was sold during the fourth quarter but that interest income is running through the P&L of the discontinued operation. So call it $9 million or $10 million of interest income and then we see the loss from discontinued operations of $1.7 million, so are there addition write-downs, maybe just talk about, what were the other expenses in that P&L of just the discontinued operation that drove the loss when you do a pretty substantial amount of interest income flowing into the top line?
Frank M. Mastrangelo: Sure, well, first of all, obviously there is $3.9 million loss related to the sale of the loans that were sold to the Walnut Street [ph] vehicle that was absorbed through discontinued operations. There are significant legal expense, actually associated with that sale that was absorbed and discontinued. There was a decrease in interest income and lastly there was a mark on a series of loans, an additional mark of $3 million that was taken through discontinued.
Matthew Kelley: Okay, on the stuff that is to be sold, right?
Frank M. Mastrangelo: On the stuff that is to be sold.
Matthew Kelley: That is pre-aligned [ph] with part of the $900 million?
Frank M. Mastrangelo: That’s correct.
Matthew Kelley: Okay, got you. Okay, I will hop out and let somebody else ask questions. Thank you.
Frank M. Mastrangelo: Thanks Matt.
Operator: Thank you for your question. We do have another question from the line of Frank Schiraldi from Sandler O’Neill. Please proceed.
Frank Schiraldi: Yeah, just a follow-up on -- sorry if I missed up, but securities-backed lending. What’s the average yield there and do you expect that to continue to be a big driver of growth in the loan book?
Frank M. Mastrangelo: Yes, I think the yield is about 2.7% in that business and we do believe it’s going to be one of the core drivers of loan growth absolutely. Those of course are all floating rate, floating rate credits today.
Frank Schiraldi: Great, okay, thank you.
Operator: Thank you for your question. Another question, this time from William Wallace from Raymond James. Please proceed.
William Wallace : Thanks. Just one follow-up on the variable expense associated with the commercial mortgage back business. Do you have -- like what was the variable, the variable comp or the variable expense rather for 2014, that’s tied against that $12.5 million?
Frank M. Mastrangelo: Wally, I don’t think that’s a number we have in front of those. We can work with you -- work to get that for you offline.
William Wallace : Maybe one other way of asking it is, if I assume that spreads normalize and you get back to say a $4 million or $5 million -- or a $4 million of run rate, do you have an idea of the bounce back in expense would be? Is that the same?
Paul Frenkiel : As I said before Wally, you have to use at least 40%. We can look at some of the other expenses. The problem is in the history, some of the other expenses it depends on which securitization, which company we are selling into. It depends on just the expenses associated with particular sales. So they seem to vary considerably. So I would start with 40% and that’s a pretty good beginning estimate.
William Wallace : Okay, thanks Paul. And then one follow-up question for you Paul, the notes that were issued in association with the sale of the stressed commercial loan portfolio, that I think it’s a roughly blended 2.2% yield. Will that income flow through net interest income?
Paul Frenkiel : No, it will flow through, I believe it will flow through other income because the investment in those notes is actually not in our -- it’s in another asset right now but we really haven’t clarified that with our accountants as yet.
William Wallace : Okay, all right. So stay tuned I guess is it?
Paul Frenkiel : I guess.
William Wallace : Okay.
Paul Frenkiel : It’s not a very -- because it’s in other assets it’s not clear that it should go in earnings assets although theoretically you could make an argument that it should.
William Wallace : Okay, thanks guys.
Operator: Thank you for your question. We have another question from Matthew Kelley from Sterne Agee. Please proceed.
Matthew Kelley: Yeah, hi. Just a question on capital, as you do have volatility in the size of your balance sheet in flows of deposits and liquidity, where are you trying to maintain or what’s the minimum TCU level that you are trying to maintain throughout the cycles here?
Frank M. Mastrangelo: Yeah, I mean I think the easiest way answer is just to say that we don’t believe we are going have to any near-term need for capital. Rather we will manage the balance sheet and probably find ways to continue to share the excess liquidity.
Matthew Kelley: Okay, holding at those 7% a decent bogey in your benchmark to consider?
Frank M. Mastrangelo: Yeah, I believe, I believe so, yes.
Matthew Kelley: Got you. And then just taking a step back before the loan sale you folks were earning about $25 million to $26 million in just straight net interest income and obviously now a big transition selling a $1 billion of your portfolio at a little bit higher yield, eventually deploying into securities at a little bit lower yield. When do you think you can get back to that level of just net interest income? Again if you look me the latter quarters of ’13, early ’14 before the loan sale, call it $25 million to $26 million and getting back to that level or something close seems to be the important goal to reach earnings, to real profitability. How long do you think it takes to get there?
Frank M. Mastrangelo: We don’t really project -- we don’t give that kind of guidance. But one think you should be aware of when you watch the interest rate markets that we believe that because so many of our prepaid deposit relationships are contractual that our deposit cost are going to go up much less then peers when interest rates increase. So I think we have that advantage to look forward to over the coming couple of years, when I believe the consensus even with some wavering now, is that rates are going to go up, that should benefit us. So that’s what we are looking forward to.
Matthew Kelley: Okay, and then on the remaining $900 million of loan sales, would you consider using the same structure where you hold a portion of the equity and a new partnership created and lending money to that equity -- entity as well?
Frank M. Mastrangelo: It’s certainly not the first option or priority, would we consider it in the right transaction, possibly but just not certain there is going to be a need to do that.
Matthew Kelley: Okay, thank you.
Operator: Thank you for your question. I would now like to turn the call over to Frank Mastrangelo for closing remarks.
Frank M. Mastrangelo: Well, fantastic. Thank you everyone for joining us this morning. And we appreciate all of the good questions and insights and I look forward to following-up with you next quarter.
Operator: Thank you for your participation in today’s conference. That concludes the presentation. You may now disconnect. Thank you and have a good day.